Miranda Hunter: Good morning, and welcome to Fidelis Insurance Group's fourth quarter 2024 earnings conference call. With me today are Dan Burrows, our CEO, Allan Decleir, our CFO, and Jonny Strickle, our Chief Actuarial Officer. Before we begin, I'd like to remind everyone that statements made during the call, including the question and answer section, may include forward-looking statements. These statements are based upon management's current assessment and assumptions and are subject to a number of risks and uncertainties and emerging information developing over time. These risks and uncertainties are described in our press release filed with the SEC via Form 6-Ks on February 19, 2025, our fourth quarter earnings press release, and our most recent annual report on Form 20-F filed with the SEC. As available on our website at fidelisinsurance.com. Although we believe that expectations reflected in forward-looking statements have a reasonable basis when made, we can give no assurance that these expectations will be achieved. Consequently, actual results may differ materially from those expressed or implied. For more information, including on the risks and other factors that may have an effect, investors should review the Safe Harbor regarding forward-looking statements included in our press release filed with the SEC via Form 6-K on February 19, 2025, and our fourth quarter earnings press release, both available on our website fidelisinsurance.com. As well as those periodic reports that are filed by us with the SEC from time to time. Management will also make reference to certain non-GAAP measures of financial performance. A reconciliation to US GAAP for each non-GAAP financial measure under the definition of RPI, which is our renewal pricing index, can be found in our current report on Form 6-K furnished to the SEC yesterday. Which contains our earnings press release and is available on our website at fidelisinsurance.com. With that, I'll turn the call over to Dan.
Dan Burrows: Thanks, Miranda. Good morning, everyone, and thank you for joining us today. I wanted to start by reflecting on the year as a whole. Where we continued our focus on underwriting, capital management. In underwriting, we identify and seize on high-quality opportunities, expanding our diversified portfolio and delivering significant top-line growth. We remain disciplined in our approach to capital management, making strategic growth investments, such as our investment in Lloyd Syndicate 3123, and initiating our share repurchase and dividend programs. And we onboarded our first partner outside of our cornerstone relationship with the Fernandez partnership. Marking a pivotal step in our growth diversification strategy. Now taking a closer look at some of our headline numbers for the year, in 2024, generated a combined ratio of 99.7%. Operating net income of $137 million, and an operating return on average equity of 5.6%. These results clearly do not align with our through-the-cycle expectations and are inclusive of the net adverse prior year development we announced last week. I'd now like to take a few minutes to address this announcement in more detail. During the fourth quarter, we incurred $287 million in net prior year development in our aviation and aerospace line of business. This relates to business underwritten in 2021 and 2022, that has been impacted by the ongoing Russia, Ukraine conflict. As this litigation has continued to progress through the court system, we have taken opportunities to de-risk our overall exposure by judiciously settling certain claims. To date, we have successfully settled or are in various stages of settlement discussions approximately two-thirds of our total exposure resulting from these unprecedented events. These proven steps to meaningfully de-risked our exposure to the mitigation and help to provide increased certainty to shareholders. For the remaining one-third, we are reserved on the basis of a probabilistic model potential core outcomes incorporating recent developments and updated information received. A significant portion of these claims relate to the English trial which recently concluded a court judgment be rendered in the coming months. Perhaps most importantly, regardless of these outcomes, our continued balance sheet strength will support our strategic growth capital management initiatives. Turning back to our underwriting performance in 2024, excluding the net adverse prior year development, specific to aviation and aerospace, we would have exceeded our long-term return on average equity target. We delivered on our growth objectives, with strong retention rates, continued diversification through new business. We grew gross premiums written 23% to $4.4 billion and achieved RPIs across our portfolio of 111% for the full year. Growth was primarily driven by our direct property, marine, structured credit insurance portfolios, as well as our reinsurance book. Our direct property gross premium is written increased 30% as we continue to see opportunities to deploy targeted capacity and leverage our lead positioning. The insurance premiums grew 40% we capitalized on favorable market conditions. Consistent with prior years, our portfolio state remains approximately 80% specialty insurance and 20% reinsurance. These results underscore our ability to capitalize on strong opportunities across most of our key classes, and secure preferential rates. Terms, and conditions, as a leader in a verticalized market. At the same time, we maintain a disciplined and nimble approach to underwriting. Where we see more competition in certain lines of business, held our discipline and will not support business that does not meet our underwriting hurdles. Moving to investments, We delivered net investment income of $191 million for the year, an increase of 59% from 2023. This was driven by an increase in investable assets, and a higher earned yield on our fixed income portfolio and cash balances. The portfolio is well positioned as we enter 2025. These results underscore our strategic focus on optimizing our investment portfolio within our risk appetite. Active capital management remains a cornerstone of our strategy. And Allan will go into more details shortly. In 2024, we remain focused on deploying our capital when we see the most attractive risk-reward opportunities. And on a strong capital position, enabled us to opportunistically return excess capital to our shareholders. During the year, we returned $152 million of excess capital to our dividend and share buyback programs. Finally, before handing it over to Allan, I want to briefly discuss the impact of the recent California wildfires. First and foremost, want to extend our thoughts and sympathies to everyone who's been impacted. January one, I fueled by greater than average vegetation dry conditions, and high winds, resulted in unprecedented industry losses for this peril. As announced last week, based on an insured industry loss estimates of $40 billion to $50 billion we expect our catastrophe losses related to this event to be in the range of $160 million to $190 million net of expected recoveries, reinstatement premiums, and net of tax. Events like this highlight the increasing impact of climate change. In 2024, natural catastrophe losses made it the sixth most costly year in insurance history. The escalating frequency of these natural disasters underscores the essential role of insurers and reinsurers and emphasizes the necessity for premium rates and coverage terms and conditions to accurately reflect the evolving risk landscape. In summary, we closed out 2024 with a resilient, diversified portfolio and strong capital position. Later in the call, I will offer more insights into January and renewals, the opportunities we anticipate for 2025. However, first, I will turn it over to Allan who will provide an overview of our financial performance.
Allan Decleir: Thanks, Dan, and good morning, everyone. As you saw in our 2024 year-end earnings release, we are reporting our results under newly defined operating segments. Insurance and reinsurance. This change ensures that our financial reporting is aligned with our internal management and decision-making process aligns more closely with pure reporting. Our new insurance segment includes our previously reported bespoke and special segments. Both of which remain a critical component of our value proposition. Before going into our quarterly results in detail, I'd like to highlight our 2024 annual results. As Dan mentioned, we are pleased with the progress we made on executing our strategic objectives. Our operating net income for 2024 was $137 million or $1.18 per diluted common share. We closed the year with a diluted book value per share including AOCI, of $21.79. Which increased by 5.3% from the end of 2023. Our total capital is $3 billion while having returned $152 million to shareholders through dividends and share repurchases. Now taking a closer look at our quarterly results. We continue to deliver excellent top-line growth with gross premiums written of $954 million in the quarter, an increase of 22% versus the same quarter last year. In the insurance segment, gross premiums were increased by 19% or $146 million in the quarter. We continue to see high retention levels across key classes, and added significant new business. Meanwhile, in the reinsurance segment, Although Q4 is seasonally our lowest quarter for premiums written, market dynamics remained favorable And we continue to find new opportunities to support our diversified portfolio. We grew gross premiums written to $32 million as market discipline around rates remained. In the fourth quarter, our net premium as written decreased by $71 million versus 2023 primarily as a result of an increase in ceded premium written $145 million for our most recent multiyear Herbie Reed catastrophe bond which we publicly announced at the end of December. Our net premiums earned increased by 25%. Compared to the fourth quarter of 2023, driven by growth of our gross payments written in the current and prior year periods. Turning to the combined ratio of 128% for the quarter. I'll break down the components in more detail.
Jonny Strickle: Our net adverse prior year development was $270 million in the quarter, Compared to net favorable development of $15 million in the same period last year. So As noted last week in our press release, the insurance segment had adverse development and our aviation and aerospace line of business of $287 million or 45.3 points of the loss ratio for the quarter. The remainder of the insurance segment experienced net favorable development of $6 million. The reinsurance segment had net favorable development of $11 million in the fourth quarter, Driven by benign prior year attritional experience and positive development and catastrophe losses. Our net adverse prior year development for the entirety of 2024 was $125 million. This included favorable prior year development in nearly all lines of business, offset by the adverse prior year development in aviation. And aerospace. The fourth quarter catastrophe and large loss ratio of 21% $133 million of losses. Compared to 19.9% or $101 million in the prior year period. So Of the fourth quarter catastrophe and large losses, insurance accounted for $83 million reinsurance, $51 million. With the majority of the loss related to hurricanes Milton and Helene. The fourth quarter was particularly benign in terms of attritional losses, our attritional loss ratio improved 17.3% in the quarter compared to 20.4% in the prior year period. Continuing with trends we have seen in the year, across both segments, our full year attritional launch ratio improved to 23.2% which compared to 25.8% in 2023. The improvement reflects our portfolio optimization over the last several years. Turning to expenses. Policy acquisition expenses from third parties were 33.6 points of combined ratio for the quarter, compared to 23.7 points in the prior year period. The increase was primarily driven by acquisition cost in our insurance segment, due to higher variable commissions in certain lines of business, and changes in the mix of business written and ceded. Our full year policy acquisition expenses were 31.8 points in insurance, 23.6 points in reinsurance. The acquisition costs for the year are more reflective of our expectations regarding how policy acquisition expenses should run for our current book of business. The Fidelis partnership commissions accounted for 9.8 points of the combined ratio for Quarter. This is net of a reversal of all variable profit commissions that had been accrued for TFP through the third quarter of 2024. For 2024, there is no profit commission payable to the Fidelis partnership as the underwriting profits defined in the framework agreement, did not meet the required hurdle. This reflects our alignment of interest with PFP and demonstrates that the framework agreement is operating as intended. Finally, our general and administrative expenses were $24 million versus $26 million in the fourth quarter of 2023. The decrease in expense was driven by lower variable compensation accruals, the current year. Our net investment income increased to $51 million for the fourth quarter of 2024. Compared with $39 million in the prior year period reflecting a higher earned yield on our cash and fixed income portfolio as well as an increase in investable assets compared to the prior year period. During the quarter, we sold $600 million of securities with an average book yield of 4.2% resulting in a realized loss of $5 million. We also reinvested $779 million into new fixed income securities in the quarter, with an average purchase yield of approximately 4.8% as we continue to reposition our overall investment portfolio. We also invested $200 million into a diversified hedge fund portfolio. The hedge fund investment represents 4% of our total investable assets, And as part of our ongoing strategy within our risk appetite, to generate superior risk-adjusted diversified investment returns, and enhanced shareholder value. At December 31, the average rating of fixed income securities remains very high at double A minus with a book yield of 4.9%. Average duration is consistent with the third quarter at 2.8 years. Turning to tax. Bermuda government has enacted a 15% corporate income tax starting in 2025. As a reminder, we are carrying a deferred tax asset valued at $90 million in respect of the Bermuda economic transition adjustment is expected to be substantially utilized within ten years, as an offset against any Bermuda corporate income tax that is payable. Consistent with 2024, we remain committed to maintaining a strong balance sheet while returning excess capital to shareholders. Our Outwards reinsurance program is a very important tool in our capital management Strategy. At January first, we renewed the majority of our Outwards reinsurance protection. Significantly, have successfully renewed our 20% whole account quota share agreement with travelers to the third consecutive year. As mentioned earlier, we issued a new tranche of our Hervey Reed catastrophe bond securing $375 million in collateralized reinsurance protection for named storm and earthquake covered events in the US for a multi-year period. Finally, we have continued with our ten-cent quarterly common dividend in the first quarter. We have $145 million remaining under our authorized repurchase plan. Our strong capital position will enable us to pursue accretive growth opportunities across our portfolio we're continuing to take an opportunistic approach to share repurchases.
Dan Burrows: In conclusion, we remain committed to our strategic initiatives and are confident in our ability to navigate the evolving market conditions. I would now turn it back to Dan for additional remarks.
Dan Burrows: Thank you, Allan. Looking ahead, we continue to see areas of opportunity across our portfolio. Are focused on maintaining our disciplines, agile approach to underwriting, and leveraging our scale, positioning, and deep relationships to strategically pursue the opportunities that align within our risk appetite, And importantly, as a leader in this personalized market, we are able to take a first look at business opportunities and achieve differentiated rates, terms, and conditions. There'll be a difference in the dynamics within our underwriting segments. In insurance, we continue to build on our established book of specialty business. In property, our lead position, coupled with our gross line size, and underwriting approach, enable us to successfully navigate the market and capitalize on areas of opportunity. We continue to maintain great discipline With an RPI of 107%, the business found at ChannelEcast. And are still seeing strong retention levels in the book. We continue to differentiate ourselves through the best client market, The performance of this book demonstrates our selective approach to how we deploy capacity across this portfolio manage catastrophe exposures. In marine, we take a multi-class approach leveraging our line across the portfolio to match underwriting appetite. Taking advantage of a more attractive pricing in areas such as Marine Moore, liability, while maintaining our discipline in marine hull waiting for under more pressure. We are continuing to see new business opportunities through geographic diversification and strong demand for capacity fleet growth continues. Evaluation. Continue to see capacity during rate pressure. And take a cautious approach Our focus is on maintaining underwriting discipline Leverage your online site, and package offering, The market. It's such a credit. We continue to work with both repeat and new clients. And following a strong end to the year, our pipeline for the first quarter is tracking prior period. Turning to reinsurance, our strategy remains consistent with prior years we seek to take advantage of opportunities to optimize our portfolio in line with our risk appetite. At one one, where we renew approximately one-third of our book, we saw strong retention rates on our core clients, We continue to capitalize on new diversifying business opportunities. We were able to achieve an RPI of 103% across the portfolio maintaining the significant improvements to price, terms, and conditions, including attachment points, achieved in the prior years. We continue to focus on higher-tier clients to deploy capacity based on our view of risk. As we look ahead to 2025, we remain committed to pursuing accretive growth opportunities across our portfolio. Through our strong relationship with the Fidelis partnership, we continue to identify and leverage new distribution channels and markets leverage all these positions, well as create opportunities for cross-selling products. We Additionally, announced last quarter, we continue to explore opportunities to form new partnerships in highly accretive and profitable business segments that diversify our portfolio under capsule efficient. Our objective is to evaluate and capitalize on new opportunities that provide long-term capacity to best-in-class underwriters ultimately delivering value to our shareholders. Our first partnership, as noted earlier, is with UK Mortgage, where we will provide capacity on a reinsurance basis. Effective January first 2025, this partnership is estimated to generate approximately $35 million in gross premiums written in 2025. Today, we are pleased to announce that we added another component to our relationship Travelers. Taking a small caps credit share of their cyber book. While this credit share may not be material from a premium perspective, it exemplifies our ability to successfully onboard new partners. These partnerships are a testament to the effectiveness of our right of first offer, and binder agreement processes the Fidelis partnership. Which demonstrates that the relationship is working as intended. It is important to reemphasize that the hurdle for any new partnership is high and must reach our through-the-cycle targets. Together with our partners, we anticipate achieving approximately 10% growth in gross premiums written across our portfolio in 2025. This spread target underscores our unwavering commitment to enhancing our market presence and expanding our reach through innovative, and strategic collaborations. After years of compound rate improvement, across most lines of business, we continue to see attractive opportunities for growth. An excellent margin across our books, Our long-term through-the-cycle targets continue to aim for mid- to high-80s combined ratio, We and target operating return on average equity of 13% to 15% through the cycle. So Our strategic initiatives and disciplined approach to underwriting and capital management, are designed to support these objectives. Ensuring that we remain competitive and resilient in the face of market fluctuations. We With that, operator, we will now open it for questions. Thank you. We will now begin the question and answer session.
Operator: To ask a question, you may press the star, then the number one on your telephone keypad. If you're using a speakerphone, please speak up your hands and before pressing any keys. To withdraw your question, you may press the star then the number two. Before we take your questions, I'd like to kindly ask everyone to please limit your questions to one primary question along with a single follow-up. And if you have any further questions, please rejoin the queue. With that, our first question comes from the line of Matt Carletti with Citizens GMP. Please go ahead.
Matt Carletti: Hi. Thanks. Good morning. Dan, I was hoping to ask you a question about I know it's Q1 event, but just about kind of the wildfires high level. Specifically, as you kind of assess the event, were there any lessons learned? I mean, the number looked like quite frankly, smaller than we might expect for Fidelis at a tail event. So I'm not trying to imply it was a bad out but just were there any lessons learned in that sort of tail event that you might you and the MGU might approach underwriting differently, or is that the sort of outcome that we should expect for you know, when you guys look to know, have exposure to what I think will be viewed as a tail wildfire event?
Dan Burrows: Yeah. Thanks, Matt. Thanks for dialing in. And great question. So obviously, the wildfires recent wildfires were a significant event for the industry. You know, four times larger than the previous largest wildfire loss. And we think, you know, the estimated return period is somewhere around the one in five hundred. So, of course, you know, insurance and reinsurers should be paying that loss. That's what we're here for. When we look at the loss, on a net basis, it's well within our overall cap budget. For the year. And it's well within our expectations for an event of this massive cheese. You know, when when we think about the reinsurance Portfolio, performed incredibly well over the last two years. Loss ratios have been sub twenty, think, in fact, in twenty three, it was nine percent. And in two thousand twenty four, it was fifteen percent. So So I think, you know, we're operating in a red bus market. We've seen a improvements in terms and conditions. Know, we operate very much in a gross to net line size. So as I say, it's within expectations. We believe that this event will have a positive impact on pricing or the trajectory of pricing. Know, I was actually talking to one of our direct property underwriters earlier in the week. On high net worth, he's seen an increase in base rates on some niche deals from, like, one dollar to three and a half dollars. We're seeing improvements in coverage, you know, sublimax for water and smoke damage. So the same for our business is always to look at getting opportunities that come out of losses or events or circumstance. We'll continue to do that throughout the year. I think what we learned from this is, actually, we're operating as intended. We gross to net line size through reinsurance purchasing is working as intended. Okay. Great. That's helpful. Thank you. And then if I could just a quick follow-up. You know, Alan, you mentioned about and it was and obviously in the release how kinda no performance fees for twenty four given the the the results. I know in certain circumstances, I think in certain circumstances under the framework agreement, there could be a kind of a deficit carry forward mechanism for a few years if they if it reaches a certain level. Guess short question is, is there any carryforward impact to to twenty five or beyond from the twenty four results, or should we just expect it to be encapsulated in twenty four?
Allan Decleir: Yeah. Matt, hi. It's Alan. Thanks for the question. Great question. As I said in my prepared remarks, the profit commission for the TFP for twenty twenty four is zero, and it's working framework agreement is working as intended. The specifics of the binder agreement mentioned a deficit carried forward. We had a ninety nine point seven percent combined ratio for the year, so So, essentially, there is no deficit to carry forward. For into future years. But we certainly, you know, as we go through twenty twenty five, the the, you know, wildfires and others will impact the profit commission. So again, we'll accrue that quarter to quarter. Based on underwriting results for that quarter. Okay. Great. I think Yeah. Sorry to jump in. But I just think, you know, what it does is demonstrate the alignment between you know, us and the TFP, because, actually, our results are very much aligned. So you know, they're showing it as well. So I I think that's Evan said, it it shows it's working exactly as intended. Yeah. That makes makes perfect sense and agree. So thank you. Appreciate it.
Operator: And your next question comes from the line of Meyer Shields with KBW. Please go ahead.
Meyer Shields: Great. Thanks so much. I guess sticking with wildfires for a second, Dan, are you anticipating any subrogation recoveries either within or beyond the estimate that you put out?
Dan Burrows: Yeah. I think my six too early to really go into any detail on that. But, you know, normally, in this sort of event, you would expect to see that happening. So as of when we can update you, we will.
Meyer Shields: Okay. No. That's perfect. Second question, and I don't know if this is significant or not, it looks like net investment income was actually a little lower in the fourth quarter than the third. And I was wondering if you could talk through what drove that.
Allan Decleir: Hi, Myer. It's Alan. The net investment income that we're the returns we're making are consistent with the Q3 and what you're seeing is that our our amount of investable assets were relatively flat Q4 versus Q3. Operating cash flows were there's obviously variability quarter to quarter. We hope to improve that the amount of our investment process going forward, obviously. But in Q4, they were flat Q3. So, again, the returns are positive. We're pleased with our portfolio. We managed to you know, reinvest some of the proceeds in some higher yielding securities, so we expect going forward, to have optimized that portfolio.
Meyer Shields: Okay. So then though unusual need for cash right now. I guess that's really the crux of the question.
Allan Decleir: Sorry, Matt. No. There's nothing sorry. Myer. The nothing unusual in there. Of course, as we go through twenty twenty five, cash flows will be a prime consideration. Okay. Perfect. Thanks a lot.
Operator: Your next question comes from the line of Lee Cooperman with Omega Family.
Lee Cooperman: Thank you. I need a little help here. I'm not an insurance expert, but it seems to me your stock is ridiculously mispriced. Because what you're saying is over a cycle, you expect to do a thirteen to fifteen ROE. So I used fourteen percent applied to thirty one the twenty one seventy nine book value. We're seeing over the cycle we we were selling it around four times four point four times the rigs. I assume we're in a hard market now, so you expect to earn more than twelve to four thirteen to fourteen percent in equity, thirteen to fifteen. So I'm assuming we're selling it around you know, less than four times earnings. Is that a reasonable guesstimate?
Dan Burrows: Yeah. The I think I think you are exactly right. If you were at absolutely agree that we see the business is undervalued. You know, if we as soon as Russia Ukraine last year, we would have exceeded our three-year cycle plan. We did exceed our through-the-cycle plan in twenty twenty three. And whilst, you know, the industry has not had a great start to the year, very confident in our through-the-cycle target. So whilst the market hasn't been the ideal start, we still think we can deliver on that, and it's entirely possible to exceed them through the cycle target.
Lee Cooperman: Mhmm. And we Yeah. We we agree. You know, the increase ten.
Dan Burrows: Sorry, Dale.
Lee Cooperman: What what is the amount of excess capital we have currently? Would you guess roughly? Yeah. We we don't we don't advise that get in detail that one. On these sorts of calls. Okay. So let me ask you this question. Do you have you have a hundred and forty five million dollars left in your repurchase. Would you be willing to spend it all in stock repurchase all this year if you if the opportunity arose and the stock was at this price?
Dan Burrows: Yeah. I think I think regardless of the outcomes, I on the remaining exposures, we have a strong capital position. And we're able to do both things. We're able to grow profitably grow the underwriting portfolio, as well as execute on our strategic capital objectives. And that obviously includes a share repurchase. So as it is very accretive, We'll do that we'll do that at home when it's appropriate.
Lee Cooperman: Okay. Well, let me just say this. So as soon as they're outside looking in, and looking at your business and the environment, I think the best thing you could do share all this money is buy back your stock at a big discounted book.
Dan Burrows: Thank you, Liam. We we certainly agree that the company is undervalued.
Lee Cooperman: All the best. Thank you.
Dan Burrows: Thank you, Neil.
Operator: Your next question comes from the line of Robert Cox with Goldman Sachs. Please go ahead.
Robert Cox: Hey. Thanks. I just wanted to ask on the aviation and aerospace reserves. I'm I'm curious how much did the outcomes of the cases where you're in the various stages of settlement discussions change your view on the remaining one-third of the exposure you're not in those discussions. So I guess I'm just asking how much did the reserves increase on the remaining one-third?
Dan Burrows: Yeah. Thanks, Rob. A really important question and quite rightly spent a bit of time on that now. So I'd just like to outline what we've actually done. Obviously, we made a press release last week and made further statements on the call a bit earlier. So reminding you of what we've done, we've meaningfully derisked our overall expenditure to the ongoing vessel aviation litigation. And we've actually settled or we're in various stages of settlement for two-thirds of the total exposure. So as you mentioned, the one-third that's left we're holding reserves on a probabilistic model, which is based on a range of core outcomes, possible core outcomes. Now regardless of these outcomes, our continued balance sheet strength will support both our strategic growth our capital management objectives for the year. And as I said earlier, you know, without rushing claim, we would have exceeded our long-term through-the-cycle target. Of twenty twenty four. But why now, you know, what's actually happened? There's no single piece of information but what we have seen in the legal process, litigation has progressed in the last quarter. We've seen summary adjustments in the US. We all know, the English trial wrapped up mid-Feb. And its judgment expected in the coming months. Then the Irish trial is also well progressed. So this new information is resulted in an opportunity for both sides to come to the table we certainly saw settlement activity accelerate over that period. Now we have chosen to judiciously settle certain exposures and that derisk uncertainty around potential incomes narrows those those incomes oh, sorry. Those outcomes And those that's really inherent in complex litigation cases. We can't discuss quantum, but as we're still in live exposures going to verification, we can't really give further comment on that. But I think, you know, what we would say is we remind you this is not a casualty exposure. It's a discrete set of cases, which once resolved, we won't need to come back to you. So, again, I just say, probably, I'd point to regardless of the court outcomes in the remaining third, we have a continued balance sheet strength that supports strategic growth and capital management objectives in twenty twenty five.
Robert Cox: Got it. Thank you. And just as a follow-up, on growth, appreciate the guidance for ten percent GPW growth in twenty twenty five I think the net premium growth has been a little bit lighter as you guys have sort of increased the the seating ratio. How should we think about net growth in twenty twenty five? Hi. It's Alan. Thanks for the question, and and it's a very good one. As we all know, there's a lag to earn versus written. And what we're also have to be clear on is that the assumed business that we write sometimes is written on a different basis than the outwards reinsurance that we purchase. As we've mentioned, Outwards reinsurance purchasing is an important part of our our DNA. And the timing of when we purchase the outwards doesn't always match the assumed business And a perfect example of that happened this quarter in Q4 where we purchased the Herbie Reed multiyear contract on that covers up to four years for US quake and main storm. So that is a four-year policy or up to four years in certain the most part that we wrote in Q4 that will earn out over the next four years. Whereas the assumed business is primarily one-year business. So another way to answer that is to say that when we look at to twenty twenty five, our net premium earned because of the lag and when things are earned is going to grow approximately between fifteen and twenty percent whereas the written book growth ten percent.
Robert Cox: Okay. Thank you. If I could sneak one more in, On the insurance the new insurance segment, could you help us think about you know, policy acquisition expense ratio, loss ratio. I think you guys had given us sort of guidelines for the other segments in the past, and I was hoping you could walk us through how to think about this segment.
Allan Decleir: Thanks, Rob. It's Allan again. As we've stated in prior quarters, we are focused on combined ratio And while the components are important, over the long-term targets for combined ratio are mid to high eighties. If you look at the insurance segment alone, the acquisition costs are I said in my current remarks, are in the low thirties. Then we have to add in the loss ratio expectations on both an attritional and a cap basis, as well as commissions to the TFP and g and a. Which all add add up to the mid to low eighties.
Robert Cox: Thank you.
Operator: Your next question comes from the line of Michael Zaremski with BMO Capital Markets. Please go ahead.
Michael Zaremski: Hey. Thanks. Maybe just stepping back, kind of, if you can kinda comment on the overall competitive environment in in some of your your your larger businesses. Know there's been I I did hop on a few minutes later. I'm not sure if you talked about the RPI stats, but there's been a a lot of talk about some deceleration, especially on the property side. From excellent pricing levels, obviously. But I'm I'm curious to kind of what you all are seeing in your book. And then lastly, same topic, but on on the bespoke segment, I know there's I don't know. Maybe you can share how you think about pricing. Maybe it's kind of we should gauge credit spreads, just kind of corporate credit spreads to to see kind of how pricing is, but any comments there would be helpful too since you're growing into that. Thanks.
Dan Burrows: Thanks very much for the question. I'll I'll take the first part and then pass it on. So yeah, I think the market is benefiting from better rates, terms and conditions. Which have all compounded year on year for the last five to six years. And we were able to grow, you know, nineteen percent in twenty twenty three, twenty three percent this year. And the drivers of that really you know, when we look at the direct property, reinsurance, and some other specialty lines, The RPIs for the year overall, for the full year across the whole portfolio, were a hundred and eleven percent. And in Q4, that's about a hundred and six percent. So as you know, you know, we use our scale. We use reinsurance to grow our gross line. That gives us leverage as a leader in a verticalized market. We we have package offerings, so, you know, we'll tend to blend you know, different lines of business within the major segments make sure that we get the best terms and conditions that we see deals first. I don't think we have necessarily the same outcome, others in the market because we are a leader and we are using leverage to to get sort of better terms and conditions. When I think specifically about some of the drivers, you know, property DNF has grown a lot. It grew thirty percent last year. Year over year. And the RPIs in that book for the quarter were a hundred and seven percent. And for the full year, it was a hundred and fifteen percent. We're looking the full year of the offer twenty four was a hundred and seventeen percent. So not much difference for the full year. Obviously, you know, these are all prequalifier. As I said earlier, are seeing some pricing impact and coverage improvements. Since the wildfire events early in January. So, you know, we believe, you know, our growth targets are realistic in this market. I think there'd be more balance between some of the specialty lines You know, we run over a hundred or just around a hundred lines of business and we see the best technical margin across the portfolio. That we've seen in recent years. So we're optimistic. We're so excited about the opportunities we see. I would think property direct will grow in the low to mid-teens. Across twenty twenty five. We'll see a lower number for reinsurance, but, you know, the reinsurance performed incredibly well. I said earlier, the loss ratios are kind of sub twenty, sub fifteen. The last two years. That that's how we think about the pricing. It's in a good place, very strong, know, technical margin across all lines of business. And, hey, it's Johnny here. So in terms of the bespoke pricing, I mean, that's really something we look at on a deal by deal basis. Comparing the metrics that deal against our long-term profitability hurdles. And just as a reminder there, it's really not just the risk transfer that the client are getting. It's either giving some capital relief or precipitating a transaction as well, so that helps to hold price up. Across those products over the last quarter or so, we're still seeing lots attractive opportunities to deploy capital.
Michael Zaremski: Got it. Thank you. That's very helpful. And switching gears, to reinsurance a bit. Curious if you you feel the California events could kind of move the market a bit. As the year progresses. And and maybe related I I are you hearing or seeing any primary insurers who who have their reinsurance towers impacted. Potentially looking to to buy some additional coverage to kind of top off their their their reinsurance towers that were utilized from from the California devastating wildfires. Thanks. Yeah. Great question. We we believe this event will have a positive impact on the trajectory of pricing for the remainder of the year. As I said earlier, sort of couple of times, we have seen some improvement already on the direct side. Know, as it was come to market, we think that'll have a there will be a positive impact. I think it's as simple as that. You know, it is a significant event for the industry. Unprecedented. So that has to have an impact. You know, our reinsurance book, as I said, has performed really, really well. So we'll look for opportunities, and we'll execute on those as of when they happen. You know, we continue to strengthen know, our business ties with our core clients. We wanna be relevant, So if they are coming to market with new demand, we're there for them. As I say, we'll execute. Thank you.
Operator: Your next question comes from the line of Alex Scott with Barclays. Please go ahead.
Alex Scott: Hey. Good morning. First one I have for you is on the the planes in Russia with the conflict ongoing. You you sort of framed for us, I think, pretty well the, you know, potential risk still from you know, some of the things that are ongoing around court cases. I'd be interested if you could frame, you know, what what happens if there is a ceasefire if if the planes are returned? Like, could you walk us through, like, the way that, you know, I guess, it would it would be subrogation maybe? Like, what what would that look like?
Dan Burrows: Yeah. Again, I I think first and foremost, we'd all like to see an end to this conflict at peaceful ends, with a satisfactory outcome for all parties. I think it's too early. To think about what the what the absolute outcome will be. I would imagine if the sanctions are lifted, would make salvageable easier easier to get your assets. But, you know, I'm afraid we think about sub salvage, it is part of the ongoing settlement discussions. We really can't go into detail on that. But I think overall, you know, we we'd like to see it end we think it would give give access to assets if there's anything. I get I guess, yeah. I I appreciate you don't wanna comment on you know, the lawsuit specifically, but let's say you know, not not asking you to you know, comment on, like, what maybe resolution could look like to that conflict. But, like, if it if it did occur, if there was a resolution and the planes were available, and you and you could you know, do it you want with them. You know, is it fair to say that you you get pretty full you know, recovery of of the losses that you booked at this point. Like, I I'm just trying to understand high level. If if that's something that happens in the next few months, like, what what could that look like for you? You know, seps separate from I think I'll I'll post that on the page. Still have live exposure going through investigations, so we just can't comment on it. And, you know, salvage, subrogation is part of those discussions. So we just can't comment any further. Got it. Okay. Alright. So maybe maybe go back to the California wildfire you know, can you can you help us think through maybe the split between insurance, reinsurance, if of the expected loss and, you know, maybe it's a separate piece of it. Are there opportunities that you look to execute on on on the other side of this? Is this dislocation in this in this market. Yeah. I think I think the split of loss would say about three-quarters of it is reinsurance. And the remainder is the direct book. Is what you'd expect in a lot of this size. And as I I said, you know, we're certainly seeing some things come through the direct side and the reinsurance side. Believe it will have a positive impact on the rest of the year. It is what the reinsurance market is here for. And I would say that our loss is well within our cap budget for the year. And well within our expectations for an event of this magnitude. You know, principal book has performed really, really well over the last couple of years. Know, and there's been significant increase in pricing, attachment points, you know, and improvements in in coverage terms and conditions. So that's been maintained. So, you know, we look we look forward to executing on opportunities We see some flow but, you know, this is very much within expectation for us. Got it. Okay. Thank you. Thanks for the question.
Operator: And your next question comes from the line of Ethan Hudson with Evercore. Please go ahead.
Ethan Hudson: Hey, good morning. Thanks for taking my questions. I hear you guys on the continued thirteen percent to fifteen percent ROE through the cycle, longer term. I think, right, in in twenty four, you guys had provided sort of a near-term outlook of fourteen to sixteen percent. And so I'm just wondering, you know, could you share maybe some thoughts on your expectations specifically for twenty five within that longer-term target and where you guys know, potentially see yourself shaking out relative to that to that target? Thanks.
Dan Burrows: Yeah. Thanks very much for the question. Look, it's still it's still early into twenty five as you know. We're not even doing the first quarter yet. So think the wildfires not the ideal start for the industry, but we certainly have a manageable loss see plenty of opportunity for the rest of the year. Given the underwriting track record of the business, the pricing environment we're actually in, which is very positive, we find ourselves you know, in a place where we have good opportunities and we can add profitable business. So we are confident that in our through the tie cycle targets very much so. That that continues year on year.
Ethan Hudson: Okay. Great. Thanks. And then for my follow-up, back to the Russia Ukraine aviation situation, I'm just wondering would you guys be able to share what sort of industry insured loss you guys are considering that's embedded in in the reserves for that?
Jonny Strickle: Yeah. It's Johnny here. I think that's a a really difficult question for this type of event. Obviously, it's not gone through to judgment. So we we haven't had an out to base it on, and it's party by party reach settlement with the underlying leasing companies. Don't know what value others have settled at. We don't know to what extent they've settled to really difficult question to to answer at the moment.
Dan Burrows: Yeah. Thanks thanks, Daniel. I'm not I'm not sure we ever will. So I guess, that's the best we can answer that question. Yeah.
Ethan Hudson: Understood. Thanks so much.
Operator: And your next question comes from the line of Andrew Andersen with JP Jefferies. Please go ahead.
Andrew Andersen: Hi, Hey. Good morning. Yeah. You mentioned the the operating ROE through the cycle, but could we maybe touch on the the target combined ratio of mid to high eighties? It's you know, it's higher in twenty four. It feels like in twenty five with wildfires. It'll be elevated as well if we think of the RPIs coming in a little bit. It it just feels like that's becoming a little bit more challenging to hit. Is that still a target, and do you see yourself getting closer to that in twenty six and twenty seven? Yeah.
Dan Burrows: I think the market is benefiting from, you know, really good rates rating environment. Technical margin, all those compound increases, everything we've said confident they're hitting our targets. That hasn't changed. Combined ratio kind of mid to high eighties. If we think about where we would have been ex Russia, Ukraine this year, we would have exceeded that. So we were on plan last year We'd have done we'd have done well this year. So we've got a manageable loss from the wildfires. It's still early in the year. But we still think that we're confident for the cycle targets. Which include obviously those combined ratios, mid to high eighties.
Andrew Andersen: Thanks. And is there any reserve study seasonality in the first half of the year? Should be thinking about?
Jonny Strickle: Hey. It's Johnny here. Just to give a bit of background about where most of our PYD comes from in terms of us being a short tail private business. It's really from the loss experience as it comes through rather than any change in underlying assumptions. So if you take Russia Ukraine out last year, for example, with favorable prior development overall, and favorable prior development in almost every quarter. And that was really driven by a benign claims environment. I we had fewer claims coming through than our assumptions made allowance for. I think that's quite different. So if you look at someone like a casualty player, where there typically is the knock on to changes in your reserving assumptions through those reviews that moves the reserves around, and that's not really as applicable to us. That being said, we do look at the assumptions once a year. We tend to look at them around Q3. When we did that last year, there was nothing really material coming out of that exercise.
Andrew Andersen: Okay. You you mentioned Q3, but if I look at first half of twenty four, of PYD. I guess that's just related to weather activity would have occurred in the second half of the year. So would it be fair to say if there's second half weather events you kinda look at them again in the first half of the subsequent year?
Jonny Strickle: Although this year is is favorable, p y d, it was more on the nutritional side. So it was just a fewer claims being reported through that were smaller. Related to the prior accident year than than we've made allowance for. It wasn't really driven by movements in the the the reserves we had for large events in the prior. Okay. Thank you.
Operator: And once again, if you would like to ask a question, simply press the star followed by the number one on your telephone keypad. Your next question comes from the line of Pablo Singzon with JPMorgan. Please go ahead.
Pablo Singzon: Hi. Good morning. Appreciate you can't say much about the Aviation resource, but would it be fair to assume that both higher probabilities and higher expected claim payouts under the various scenarios you're considering drill the reserve addition? And then as a follow-up, does the reserve addition cover the two two-thirds being settled or or already settled as well as the one-third still being dedicated?
Jonny Strickle: Hey. Is this it's Johnny here. Thanks for the question. Majority of the PYD impacts in the fourth quarter was through de-risking. So it was through the settlement discussions and moving through that process. Obviously, as we get new information, as Dan alluded to, the trial progressed over the period, we feed that into the model. There was also an element of the model increasing on the other third, but the the primary recent the increase was de-risking and looking to sell out exposures on the two-thirds.
Pablo Singzon: Okay. Gotcha. And and then second question, the intellectual property book, I think that caused some issues maybe one or two quarters ago. Any notable development there? And you fully off the risk at this point? Thank you.
Allan Decleir: Hi, Pablo. It's Alan. There's no material development on our intellectual property book. As a reminder, there were a handful of hot treaties still out there on that book of business, but it's performing as we expect. But, again, we were constantly monitoring that, and we basically we look at the activity that's there. And and right now, there's no material change. And when are you fully authorized? Because those are in runoff. Right? They're not being renewed, but when does the when are you authorized there?
Jonny Strickle: It's it's Johnny here. They they run off up to around twenty twenty seven. Although, there's always the possibility that a transaction would take its offer as early as
Dan Burrows: Gotcha. Thank you. Yeah. It's fine here, but it's a very limited number. Of deals outstanding. So, yeah, less less than a handful. Less than a handful. Yeah.
Pablo Singzon: Alright. Thank you.
Operator: And that concludes today's question and answer session. I'd like to turn it back to Dan Burrows for closing remarks.
Dan Burrows: Thanks very much. I'd like to take a moment to thank our partners. And our employees for their immense contributions. Our team is our greatest competitive advantage, without them, our success would not be possible. So thank you to the Fidelis team, appreciate everyone joining us today. And if there are any additional questions, we are here to take your calls. Thank you for ongoing support, and I'll now turn it over to the operator wrap up the call. Please enjoy the remainder of your day.
Operator: Thank you. And that concludes today's conference call. Thank you for participating. You may now disconnect.